Operator: Good morning, ladies and gentlemen and welcome to the Life Storage First Quarter Earnings Release. At this time, all participants have been placed on a listen-only mode, and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host Alex Gress, Vice President of Life Storage. Sir, the floor is yours.
Alex Gress: Good morning, and thank you for joining us today for the first quarter 2022 Earnings Conference Call of Life Storage. Leading today's discussion, it will be Joseph Saffire, Chief Executive Officer of Life Storage, and Andrew J. Gregoire, Chief Financial Officer. Following prepared remarks, management will accept questions from registered financial analysts. As a reminder, the following discussion and answers to your questions contain forward-looking statements that are subject to risks and uncertainties and represent management estimates as of today, May 5, 2022. The company assumes no obligation to revise or update any forward-looking statement because of the changing market conditions or other circumstances after the date of this conference call. Additional information regarding these factors can be found in the company's public SEC filings. In addition to the press release distributed yesterday, we furnished our supplemental package with additional detail on our results, which may be found on the investor relations section on our website at lifestorage.com. As a reminder, during today's question-and-answer session, we ask that you would please limit yourself to two questions to allow time for everyone who wishes to participate. Please re-queue with any follow-up questions thereafter. At this time. I'll turn the call over to Joseph.
Joseph V. Saffire: Thanks Alex, and good morning, everyone. I am pleased to report another outstanding quarter and a solid start for the year. Consumer and business self-storage demand remained strong, supporting positive rental trends across our portfolio. We averaged 93.6% occupancy for the first quarter, which was up 20 basis points over last year. These high occupancy levels continued to enable pricing power with asking rates for the first quarter up 20% over the same period from last year. As a result of these strong fundamentals. We achieved funds from operations of a $1.44 per share for the quarter, which is a 33% increase over the same quarter from last year. I wanted to acknowledge and thank each and every Life Storage team member that executes every day to help us achieve these outstanding results. In regards to external growth, we continue to add more scale to our existing markets through acquisitions and further growth through our third-party management platform. In the First Quarter, we acquired 18 wholly-owned stores for $351 million, while also adding 25 stores to our third-party management platform. As of quarter-end, we now own and/or operate over 1,100 storage facilities across 36 dates. Including five additional properties acquired after the quarter-end. our wholly-owned portfolio has grown close to 20% from one year ago. These acquisitions represent properties in top markets. and mostly in the Sunbelt, such as California, Texas, Florida, Georgia, and the Carolinas. Over 80% of what we closed year-to-date are stabilized properties with cap rates averaging above 4%. The remaining acquisitions are leased up properties that will provide strong upside in future years. Looking forward, our current acquisition pipeline remains strong with an additional $245 million under contract. Our third-party managed portfolio totaled 378 stores at the end of the first quarter and continues to be a source of off-market acquisition opportunities. Year-to-date, four of our wholly-owned acquisitions came from our third-party management platform. The strength of our balance sheet, operating capabilities, and acquisition team enables us to continue to identify and invest into markets with sustainable growth. The current rising interest rate environment is likely another factor that will help keep new supply at manageable levels. As we look towards the full year, we now estimate our adjusted funds from operations per share to increase to a midpoint of $6.09 for the year, which would be 20% growth over 2021, in terms of wholly-owned acquisition guidance for 2022, we now see that range somewhere between $700 million to $900 million. And with that, I will hand it over to Andrew to provide further details on the quarter and our guidance.
Andrew J. Gregoire: Thanks, Joseph. Last night, we reported quarterly funds from operations of a $1.44 per share for the first quarter. An increase of 33.3% over the same quarter last year and well above the high-end of our guidance. The sequential increase in FFO was a result of excellent same-store performance and acquisitions performing as expected. First quarter same-store revenue increased 15.6% year-over-year, primarily driven by increased rental rates and slightly higher average occupancy. Though we did see normal seasonality trends in the past couple of months, we remain highly occupied with average same-store occupancy up 20 basis points compared to the same quarter last year. We continue to be aggressive with rates on new and existing customers, leading to a significant increase in our in-place rates per foot. Same-store realized rents per occupied square foot were up 14.9% year-over-year in the first quarter, representing the continuation of double-digit rate growth for the last three quarters. We also experienced another quarter of rent roll-up, with move-ins paying on average over 8% more than move-outs. Same-store operating expenses grew only 2.9% for the quarter versus last year's same quarter. And we're primarily driven by increased marketing, utilities, and office costs. These increases were partially offset by 2.2% decrease in payroll and benefits. The net effect of that same-store revenue and expense performance was a 360 basis point expansion in quarterly net operating income margin to 70.3%, resulting in year-over-year growth in same-store NOI of 21.9% for the first quarter. Turning to the balance sheet, we supported our acquisition activity by issuing equity securities and utilizing our credit facility during the quarter. Specifically, we issued an additional $93 million of common stock via our ATM program during the quarter and drew a $135 million from our credit facility with $365 million available. Our net debt to recurring EBITDA ratio was 4.9 times at quarter-end, down from 5.5 times one year-ago. Our debt service coverage increased to a healthy 5.8 times at March 31st, up from 4.9 times from the same quarter a year-ago. We have some significant debt maturities until April of 2024 when $175 million becomes due. And our average debt maturity is 6.3 years. In addition, at March 31st, 95% of our debt was fixed rate. We are updating our 2022 guidance. We now expect same-store revenue to grow between 10.5 and 11.5%. A majority of which will be driven by improved rental rates. This increase should result in 13% to 14% growth in same-store NOI. The improved same-store performance is expected to be partially offset with increased cost of capital. As Joseph mentioned, we also increased our wholly-owned acquisition guidance to between $700 million and $900 million. Based on this outlook, we now anticipate FFO per share for 2022 to be between $6.04 and $6.14 or 20% growth over the prior year at the midpoint. With that operator, we will now open the call for questions.
Operator: Certainly. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Please hold while we poll for questions. Your first question is coming from Jeffrey Spector from Bank of America. Your line is live.
Jeffrey Spector: Good morning and congratulations on the quarter. You talked about acquisitions in some of the top markets, and one of the top incoming questions we get on LSI is just demographics. That came up on another call last week. From your experience during the pandemic and maybe prior experience, can you talk a little bit more about demographics? Are you seeing some markets outperform mothers? We've heard on several of the calls, really, all markets we're doing well.
Joseph V. Saffire: Hi, Jeffrey. It's Joseph. Thanks for your comments and question. Yes. Again, all markets are doing well. Obviously, with migration shifts to the Sunbelt, we have seen some out performance in Florida, for example. And that's really where we have been focusing our acquisition activities. The majority of our deals over the last couple of years and beyond has really been the Sunbelt states, and it's proving to be the right strategy for us. We haven't really seen anything significant that certain markets may underperform or else, and most markets are doing well as you can see for most of the results from our peer group.
Jeffrey Spector: Thank you. I guess one follow-up on that is just besides, of course, revenue is higher than expected, acquisitions remained stronger than I think the Street expected so far this year. And I saw you bumped guidance. What's happening on the acquisition front to give you comfort to bump that guidance?
Joseph V. Saffire: Sure. So we did start the year, Jeffrey, as you know, with a strong pipeline. And we felt comfortable in February giving pretty decent guidance for the year. We have gotten through much of that pipeline. And during the quarter, we found some other opportunities. As you can see, probably the second half of the year is a little bit unclear given the rising interest rates. We haven't seen cap rates move up yet on potential deals. We're hopeful that that may happen. There's some deals out there in the market right now. Iit will be interesting how they play out. But we're pretty comfortable with what we have in guidance that we'll be able to accomplish before year-end.
Jeffrey Spector: Thanks. And then if I could ask just one more. You commented on the consumer and business customer remained strong. Provide any more details on the business customer?
Joseph V. Saffire: Yes. As you know, Jeffrey, we do like business customers. We have tools in place to attract more customers to storage that typically wouldn't use self-storage, and we're just seeing the demand across all of our stores, both from consumers and business growing. We do try to monitor, it's not exact science, the percentage of both move-in business versus consumer. It's not exact, but we have some sampling out there. Over the last couple of years, we have seen that percentage slightly tick towards business. Not significant, but it just shows us that there's a growing momentum of business customers be attracted to self-storage, and that could be small businesses using self-storage for e-commerce, last-mile delivery businesses. Obviously, it's been a very good business environment, especially in the home construction. So a lot of homebuilders, plumbers, things like that, leading to store inventory. So we feel that demand in general has been very strong, but it's not just consumer demand. It's also business demand, which is a big part of the industry.
Jeffrey Spector: Great thank you.
Operator: Thank you. Your next question is coming from Smedes Rose from Citigroup Inc. Your line is right.
Smedes Rose: Hi, good morning. Thanks. I was wondering, first off, if you maybe could provide some data points for what you saw in April thus far in terms of occupancy?
Andrew J. Gregoire: Sure. Good morning, Smedes. Yes, April started out strong. Move-ins were up over 8% higher than last April. We have to be careful that it was a five-month or a Five-Saturday month compared to last year's April, which was a Four-Saturday. But we're liking what we see start of the quarter from move-ins. Move-outs were also up. Occupancy stayed flat to what we saw at the end of March, over 937 is where we ended April in occupancy.
Smedes Rose: Okay. And then just in terms of price increases to existing customers, what -- what ranges are you pushing through now? Are you -- I guess you're starting to [Indiscernible] the kind of higher rates that you were able to put through I guess around a year ago now?
Andrew J. Gregoire: Our average is in the mid to high-teens is the average. That started -- we started doing that in the last Q2. Yeah, last Q1, we weren't at that level. But since last Q2 -- late last Q2 is when we started at those levels, and they continue. And they -- they range again, the averages in the high teens. But there's customers that we're pushing well over 20% increases on.
Smedes Rose: Okay. And then just last question. Could you just maybe talk about what you're seeing on the micro fulfillment in the warehouse anywhere side of the business?
Joseph V. Saffire: Sure. Hi, Smedes, it's Joseph. Again, that's the newer business for us, the light speed product, the micro fulfillment centers. We spent the last 18 months kind of building out that model, opened up our sites in Vegas, in Chicago, Atlanta, Columbus, and LA. We may do one in Texas in this year at some point. I think right now the focus is also now trying to attract more customers to that. Walk before you run, but we're very excited about it. It's like I said earlier on the last question, businesses are using self-storage and that business is -- that demand is going to continue to grow. If we want to see more businesses use self-storage, you need to kind of give them some of the tools and that's what we're doing with the micro fulfillment. We had a pretty good first quarter. We got a handful of new customers and we're onboarding them. And we'll see how it goes for the rest of the year. That's the focus for us right now, is to build out the customer base for those particular micro fulfillment centers that we already have established before we kind of go into a next layer of adding more micro fulfillment centers.
Smedes Rose: Great. Thank you.
Operator: Thank you. Your next question is coming from Todd Thomas from KeyBanc Capital Markets Inc. Your line is live.
Todd Thomas: Thanks. Good morning. You mentioned that move-in rates were 8% above move-out rates in the first quarter. Is that spread improving through April as you move further into the peak rental season? And can you talk about how that trended throughout the quarter if you have a breakout, maybe by month? And yeah, if you could give us an update as to where that stands today, that'd be great.
Andrew J. Gregoire: Sure, Todd. As of the end of April, we over 7% rent roll-up. So move-ins paying some 7% higher than move-outs. We've had six quarters of rent roll-up. So this is very unusual. We normally would not go through the slow months of the year with rent roll-up. But to see that gives us great comfort. It was pretty steady during the first quarter. A little high started the quarter at 10%, ended the quarter on average, a little over 8% higher. So it was relatively steady, slightly decel during the quarter.
Todd Thomas: Does -- do you feel that being in a rent roll-up position where as I think most of your peers, most of the competition, it seems like is either flattish or in a rent roll down position. Does that make you think differently from a pricing standpoint strategically as -- as you move further into the peak rental season to further throughout the year in terms of either in place customer rent increases or costs associated with acquiring customers, etc.?
Joseph V. Saffire: Yeah. Hi, Todd. Definitely. This is Joseph. We take that into consideration. We do feel comfortable and confident with our rate increases that we put out. We put out more volume for this time of year than we have in the past. And it gives us -- we know that that drives move-outs, but we do feel that those move-outs potentially will be replaced by customers paying higher -- asking higher street rates. So it definitely plays into our in-place conversations and strategies. So we feel we're in a really good spot this coming peak season.
Todd Thomas: Okay, great. One last one if I could just start on the internet spend in the quarter. It was up by almost 10%. Are you starting to lean a little bit more on web spend here and has anything changed at all, I guess, to the broader demand funnel around your customer acquisition efforts?
Andrew J. Gregoire: I think when we look at that spend Todd, for the first quarter we spent on average $79 per move-in. That's just a great use of funds and we think we have the ability to ramp up occupancy, and we think those dollars are well spent, when you look at the average length of stay of a customer to bring them in at on average $79 per move-in, we think that's a good spend and will continue that. We do fluctuate as we go through different times of the year on that spend but we felt with some of the move-outs we were driving with our in-place strategy. That was a good time to spend those dollars in Q1.
Todd Thomas: Okay, great. Thank you.
Operator: Thank you. Your next question is coming from Juan Sanabria from BMO Capital Markets. Your line is live.
Juan Sanabria: Hi, thanks. Just a couple of follow-ups on the April data points you provided thus far. If you could touch on what the increase in April is for new customers, that Street rate increase, I think you said it was 15% for the first quarter. Correct me if I'm wrong. I'm sorry. I'm trying to look at my notes.
Andrew J. Gregoire: Street rates were up 20%. Sorry about that Juan. Street rates were up 20% in the first quarter. A matter of fact, a little bit lower than that. We have a slight uptick in free rent. I think on the average; we were about 2.8% of revenue was free rent. April, I think Street rates were up about little over 10%. They should start ramping up as we go into the busy season, which starts this month.
Juan Sanabria: Okay. And then can you just provide the year-over-year spread for that occupancy data point? You provided 937 for April?
Andrew J. Gregoire: Correct. Last April was 945, so 80 bps.
Juan Sanabria: Okay. And then just curious on price sensitivity, it doesn't sound like there's any pushback on ICR rise and you guys are more willing to be aggressive given that positive spread for new customers coming in. But just curious if the data that you're seeing is showing customers any less willing to upgrade if you roll or be supersized for that box, if maybe at a better location closer to the elevator, or if you're seeing signs of maybe more price conscious shopping when customers have a choice.
Joseph V. Saffire: Yes. I mean, I wouldn't say there hasn't been any push back clearly with the in-place strategy. We have seen move-outs in the first quarter. They were up 7%. So we expected that. And obviously, as I said earlier, street rates are higher, and we have rent roll up, so it's a strategy we're willing to focus on. It's a good question, one I think with our rate now proposition we have tiered pricing and typically we can see -- we have value spaces and standard and premium spaces that a customer can choose from. It's really difficult to make an assessment on that right now, given the high occupancy we have in many cases, if a highly desirable space, like a 10 by 20, we probably won't have three options at this point for most stores. So it's almost like it is one left, they take it. So that's -- that's what's driving really, the business right now is the street rates were up because of vacancies are low. So but in normal times and when we're a little bit lowered occupancy. That's a good question. We -- I would think in a downturn if there is a downturn, we may see more consumers go towards that valued space, but right now we're not, we don't have any evidence of it.
Juan Sanabria: Okay. And then just one last from for me. Any updates on supply? Sounds like you were trying to say might be pushed up given higher rates that are curious if there's any change in the expectation of '22 or '23 deliveries. If you have any sense, there and of what percentage of your portfolio is exposed relative to prior [Indiscernible].
Joseph V. Saffire: Yes. No, really no change from the last quarter. We do feel we're in a good spot as there's a lot of challenges to force for developers given not only interest rates, but cost of materials, cost of construction, and then just the process of entitlement is delayed as well. So we are not seeing anything meaningful change. If you look back at 2018, that the peak of new supply for us in particular, I think over 50% close to 60% of our stores were being faced with a potential new construction, and that number is more in 20% today, despite our portfolio being much bigger. So I think that's a good sign for us and we feel 2022 and even 2023, new supply will be at manageable levels.
Juan Sanabria: Thanks, Joseph.
Joseph V. Saffire: Thanks, Juan.
Operator: Thank you. Your next question is coming from Spenser Allaway from Green Street. Your line is live.
Spenser Allaway: Just going back to the acquisitions completed and or under contract, can you give us an idea whether these are stabilized properties or if there's lease up potential? And then just any idea on the stabilized cap rates for these.
Joseph V. Saffire: Sure. Hi, Spencer. So the deals we closed in the first quarter, 80% of those are stabilized in the [Indiscernible] and the year one cap rate as north of a four-cap. And those typically will grow for us. Stabilized stores depends if it's re-managed or locally managed. We did have some locally managed stores in that stabilized pool. And those typically will grow 50 to a 100 basis points over a couple of years time. The leased up properties we bought, about 20% of our acquisitions were leased up. And typically, they are the Class A stores. They are in early leased up and we expect -- we would expect those to lease up in stabilized cap rate, 5.5, close to 6% by the time they're stabilized. So really, some really nice upside ranges from two to three years out. But I think that's going to be probably some good opportunities on the lease upside. Given where interest rates are today, will make stabilized acquisitions a little bit more difficult. But we've got a nice mix in there. So we feel very good about what we've achieved so far.
Spenser Allaway: That's great. And then maybe just on the demand side, just with mortgage rates climbing, is there any concern that moving demand is going to be impacted in the coming quarters?
Andrew J. Gregoire: We're still very optimistic that the spring season will be a strong one, a housing market despite mortgage rates is still very strong, might take some time for that to filter to the housing, markets of the spring leasing season should be a good one. We're already seeing some early activity on the college students, which looks pretty promising. So we feel pretty good about demand in the next few months.
Spenser Allaway: Great, thank you.
Joseph V. Saffire: Thank you.
Operator: Thank you. Your next question is coming from Keegan Carl from Berenberg Capital Markets. Your line is live.
Keegan Carl: Hey guys, thanks for taking my question. Maybe first, a little bit more color on vacates. I know you mentioned move outs for up, was there any particular point that customers were identifying was priced kind of the biggest push back?
Joseph V. Saffire: Not necessarily. We try to get that information and typically you might get not the correct answer, but on a percentage wise, I think the majority is they've just done with storage, they don't need it. And then there's going to be a batch that yes, that rate hike was the factor. But it's not like they're moving to another storage facility. The street rates are what they are. So I don't believe they're out there shopping, they're moving their goods. It's just they've figured a way that they didn't need to pay that bill anymore.
Keegan Carl: Got it. And shifting gears a little bit here. Maybe can you just any updates in your plans to re-enter Canada now that as the borders reopened. So are you guys somehow scanning assets at all and on those pricing compared to the U.S?
Joseph V. Saffire: Yeah, we focus on the GTA. That's where we're operating with our partners up there. We have seen a couple of smaller portfolios that look promising. We'd like to get up there with a smaller portfolio, so it's not just a one store and get our brand up there. But we do look. We've been so busy in the U.S. It's not easy to do that. But we think if the timing is right and there's a good opportunity, we would definitely have entered Canada. The pricing is pretty competitive and the GTA there has been some new development up there. And pricing is -- you're not going to get a bargain up there. But we do think there's some smaller run portfolios that we put on our platform. We can drive some probably outsized growth in future years. So we'll keep looking, and if the timing is right and the stores are right, we'll get back up to Canada.
Keegan Carl: Great. Thanks for your time, guys.
Operator: Thank you. Your next question is coming from Ki Bin Kim from Truist Securities. Your line is live.
Ki Bin Kim: Thank you. Just going back to a couple of topics, ECRI first. So you were pushing it high-teens. If you think about the vintage of customer's that you've already applied a rent increased to versus what's left in the, how should we think about the pace of that ECRI push as we progress through the year?
Andrew J. Gregoire: Thank you Bin. Q1 actually through May we've been aggressive, more aggressive with the number of letters that have gone out, so we're about two months of ahead of last year. Average rate increase is higher than last year and we've accelerated them about two months earlier than we did a year ago. Otherwise, it should be very similar.
Ki Bin Kim: Okay. And your payroll costs were once again, very manageable and negative year-over-year. Can you just talk about what you've done so far? It's been like that for a few quarters, and is there a point where that should actually inflect back to the inflationary pepper (ph.) rate?
Joseph V. Saffire: Well, Ki Bin, you know, we've been focused on a number initiatives in our company for a while now and being more efficient is one of them. We do look for ways to lower payroll hours in the stores. So that is part of it for sure. The hiring is also a challenge for the industry and finding replacements with some of it may have baked in some open vacancies, but continuously we feel we can still find ways to drive down the number of FTE per store, which could help offset some of the inflation going forward.
Ki Bin Kim: Okay. Thank you.
Joseph V. Saffire: Thanks Ki Bin.
Andrew J. Gregoire: You're welcome.
Operator: Thank you. Your next question is coming from Jonathan Hughes, from Raymond James. Your line is live.
Jonathan Hughes: Hey, good morning. Just to stick with the ECRI. Was there any common trend among the move-outs? Were they all longer length of stays? I think it would be great to have color on what was that threshold of the rate increase where you did see a noticeable increase and move outs. But I think you might have mentioned earlier that you might not have that data. I don't know if I heard that correctly.
Andrew J. Gregoire: No, we do have the data and the move-outs. What's causing the move-outs is it because they got the rate increase? That is hard to determine. Obviously, the attrition rates we're seeing on those move-outs is back to expectations, right? It's back to what we had expected. We had for, jeez, over a year, saw below expected move-outs. So I think it went up from 15.1% to 20% moved out during a 90-day window that we measure though. So it did tick up a little bit, but there's a few things. Some of that was by design. If you put an increased letter on someone who's been with the for five months, the attrition rate naturally is going to be higher because just our medium length of stay. Those customers, some of those customers we're going to move out anywhere. Just say, hey, it went from 15 to 20 months sounds like a big change. But some of that was expected just because of how quickly we were putting in that first rate increase. And some of those customers were expected to move out anyway. So no shocks there. We like what we see, and we'll continue to be aggressive on those in-place increases.
Jonathan Hughes: Okay. That's helpful color and yeah I realized, we're kind of getting back to maybe normal, which is a good thing, I think we all want normal. Were there any differences maybe in price sensitivity to this increases by region? Were Sunbelt markets less price sensitive due to the strong population inflows there were the Midwest markets may be little more sensitive, or were they pretty consistent across the country.
Andrew J. Gregoire: I don't have the data by-market, Jonathan. The revenue management team hasn't mentioned any unusual pockets, so my expectation there wasn't any, they would've mentioned those. I really -- I didn't see it and I wouldn't expect to have seen it.
Jonathan Hughes: All right. Thanks for the time.
Joseph V. Saffire: Thanks, gentlemen.
Operator: Thank you. [Operator Instructions] Your next question is coming from Michael Mueller, from JPMorgan. Your line is live.
Michael Mueller: Hey, [Indiscernible] talked about asking rents being up 20% year-over-year in the First Quarter. And I guess, regardless of what last year's comp was and knowing that rates can be different at different times during the year, are you still seeing asking rents more like on an absolute basis to a rising throughout the year here from this point?
Andrew J. Gregoire: Yeah, as we go into the busy season, we would normally see those rise. They had been writing for the last few months, but that's difficult, they normally rise right through July and that's what we would expect this year.
Michael Mueller: Okay. And then has anything notably changed on the acquisition front over the past two months, just given the macro turbulence, whether it's pricing expectations or product coming to market?
Andrew J. Gregoire: I would say that we've seen more product come out. It was actually a pretty quiet January coming through the holidays. And things picked up in March. And in this month, we've seen more listings and more marketed deals. The question is, where will those trade as interest rates continue to climb and tenure continues to climb? So that may be something we watch over the next couple of months. Other than that, there's definitely still product to review. Obviously, we're not seeing the large billion dollars deals like we did last year. But it's still going to be active. It just depends on where cap rates end up. Hopeful that they crave up a little bit. We haven't seen it yet, but I think it's still a little too early to make that judgment.
Michael Mueller: Got it. Okay. That was it. Thank you.
Joseph V. Saffire: Thank you, Michael.
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to Joseph V. Saffire, Chief Executive Officer for closing remarks. Please go ahead.
Joseph V. Saffire: Thank you everybody for calling in today for your questions. Happy Cinco de Mayo and enjoy the rest of the day.
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.